Operator: Good morning and welcome to the Pitney Bowes second quarter 2013 results conference call. Your lines have been placed in a listen-only mode during the conference call until the question-and-answer segment. Today's call is also being recorded. If you have any objections, please disconnect your lines at this time. I would now like to introduce your speakers for today's conference call, Mr. Marc Lautenbach, President and Chief Executive Officer, Mr. Michael Monahan, Executive Vice President and Chief Financial Officer and Mr. Charles McBride, Vice President, Investor Relations. Mr. McBride will now begin the call with the Safe Harbor overview.
Charles McBride: Thank you and good morning. Included in this presentation are forward-looking statements about our expected future business and financial performance. Forward-looking statements involve risks and uncertainties that could cause actual results to be materially different from our projections. More information about these risks and uncertainties can be found in our 2012 Form 10-K, Annual Report and other reports filed with the SEC that are located on our website at www.pb.com and by clicking on Investor Relations. Please keep in mind that we do not undertake any obligation to update any forward-looking statements as a result of new information or developments. Also, for non-GAAP measures used in the press release or discussed in presentation, you can find reconciliations to the appropriate GAAP measures in the tables attached to our press release and also on our Investor Relations website. Additionally, we have provided slides that summarize most of the points we will discuss during the call. These slides can also found on our Investor Relations website. Now, our President and Chief Executive Officer, Marc Lautenbach will start with a few open remarks. Marc?
Marc Lautenbach: Thanks, Charlie. [AUDIO GAP] for joining us this morning. In addition to disclosing our second quarter earnings results, we also announced this morning that Apollo Global Management has acquired our management services business for approximately $400 million. Before I discuss our agreement with Apollo, let me briefly talk about our second quarter results and where we are in terms of our strategic objectives. Following my comments, Mike will provide more color on the results and then we will open up the lines and Mike and I will take your questions. Overall I am very pleased with the results and how our teams performed throughout the second quarter. I feel good about our position in the marketplace and where we are headed into the second half of the year. As you may recall, at Analyst Day back in May, we outlined our strategy for delivering more sustainable value to our shareholders by unlocking the inherent value in Pitney Bowes. We told you that we would focus our efforts in three critical areas. First, stabilizing mail. Second, driving operational excellence and finally, growing our business especially through participation in digital commerce. Importantly, our activities in all these initiatives today but as we discussed at Analyst Day, the benefits will accrue over some period of time. During the quarter we made solid progress in each of thee areas. In terms of stabilize our mailing business, we continue to see lower rates of decline and recurring revenue streams in North America mailing. In fact, this was the sixth consecutive quarter that the decline slowed and importantly, very importantly, there are improving trends in equipment sales. This is significant and we believe we will continue to make progress. Revenue in production mail increased 18% and we finished the quarter with a higher backlog of orders in the previous year. Further, we saw increased revenue presort mail. In aggregate, we believe all of these speak to the stabilization of the mailing business that we discussed earlier this year. Turning to operational excellence, there were a number of actions throughout our business to enhance operational excellence and reduce costs, support EBIT margin improvement in many of our businesses. Specifically, we saw margin improvement in North America mailing, production mail, software and management services. The balance sheet is perhaps the most important indicator of operational excellence when we make substantial progress. Specifically, we retired $375 million of debt, we substantially improved our inventory position over the last 12 months and improve our DSO by four-day. The other pillar of operational excellence that's very important to me is service. And, again, they are making substantial progress. Specifically, we concluded a pilot in our North American SMB organization, which provides better client service, improved market coverage all at lower expense with all those [coverage] modeled out in North America in the second half of this year. Likewise, we are focusing our businesses in places where we can innovate and provide distinctive value. Beyond PBMS, North America, we reached definitive agreement to sell the European operation of Management Services. In addition, we have begun important work to focus our product and geographic footprint. All this work is enabling us to create a simplified and focused operating model based on standardized processes which creates the basis to drive a much more efficient structure going forward. All that said, our strategy will be incomplete if we don't ultimate grow our business. We are focusing in markets that in aggregate represent over $45 billion of opportunity. Two very important reminders from Analyst Day. First, we are not yet in our ultimate segment configuration. We continue to do that work to ensure that we can represent ourselves in a very transparent way. So, in other way digital commerce is more than just the software segment. Second, this initiative will take some amount of time. Though in software segment has reported decline and again not all of our digital commerce assets are currently in the software segment, we did see quarter-to-quarter revenue improvement and significantly improved profitability. Likewise, we continued to make investments in our e-commerce solutions and we are seeing increased transaction for our cross-border solutions business. Finally, our Volly solution has met the target levels for Australia Post. The digital mailbox has been [public] since May and Australia Post has increased in a number of available provider and on-boarding many of Australia's largest mailers. Our focus for Volly is not (Inaudible) business model and capabilities in U.S. in the second half of the year. In the next several quarters, we will work to create a more specialized sales force for digital commerce business. I am confident that we have right ingredients for a strong and growing business that is differentiated from others in the marketplace. Before I hand over the call to, Mike, let me briefly talk about our decision to sell our Management Services business Apollo. First, and this is important, Pitney Bowes Management Services is a strong business with highly skilled, a remarkable client base and a solid reputation in the market. Second, following a thorough evaluation of our strategy we included the PBMS business will be best served operating as a standalone company with greater opportunities to add value for its clients and employees. Third, we believe employees of both Pitney Bowes and PBMS will benefit from being part of a stronger and more focused companies that are committed to provide the greatest value for our clients and our shareholders. Importantly, this move is a critical step in executing our strategy as we streamline our operational and rationalize our portfolio. It will give us the flexibility we need to focus on developing and delivering the highest value technology, innovative software and differentiated services in growth areas where we see the greatest opportunity lead. We expect the deal with Apollo management to [close] sheer proceeds from sale, the principal use to pay down debt. As I said earlier, I am very pleased with our results so far, but there is much more to do. We will take time to firmly put into place the tools, processes, discipline and execution focus to drive this company forward. This is an ongoing and continuous process and by no means a straight line to the top. [We are convinced] our strategy is sound, we are on the right track and that we are focused on exactly the right areas to continue to unlock the value of Pitney Bowes. Let me now turn it over to Mike for a more detailed discussion of our second quarter results. Mike?
Mike Monahan: Thank you, Marc, and good morning. As Marc indicated, we have taken significant actions over the last several months to improve business profile, lower cost and actively manage our debt. These actions are the first steps and very important steps to lay the ground work for our transformative journey. In line with our strategy, today we announced that we have reached a definitive agreement the sell the North American operation of management services to funds affiliated with Apollo Global Management for $400 million. We expect this deal to close later this year and we will treat this business as a discontinued operation in the third quarter. Consistent with the capital allocation strategy, we laid out at Analyst Day, we expect to use the net proceeds from the sale of this business to principally reduce debt. As a result of lower than expected first half operating performance for the North American operations in management services including pricing pressure on contract renewals and a longer than anticipated sales cycle for some of the new growth areas, future and near-term cash flows are now estimated to be lower than originally projected. Accordingly, the company has performed a goodwill impairment review as of June 30, 2013. As a result of pretax non-cash goodwill impairment charge of $98 million was reported. Additionally, and as we previously announced, we entered into agreement to sell the European portions of our management services business. We closed one transaction and we expect to close on the other in the coming days. The operating results and loss on sale related to these businesses are now reported in discontinued operations. From a financial performance perspective, during the second quarter, we had double-digit revenue growth in two of our business segments and flat revenue in a third segment on a constant currency basis. We also experienced improving trends in elements of our revenue stream including equipment sales, financing, supplies and business services. I will discuss those trends in more detail as I take you through the results for each of the business segments. SG&A also continued to decline and we were able to realize nonrecurring tax benefits from the resolution of certain tax matters in several countries. During the quarter, we also retired $375 million of maturing debt using cash on the balance sheet. The results for the second quarter further support that we are positioning the company to achieve its long-term strategy. Now let me take you through our results. Once again, please note that the operating results and loss on sale related to European businesses of management services are now recorded in discontinued operations. For the second quarter revenue totaled $1.2 billion, which was nearly flat when compared with the prior year on a constant currency basis and a decline of less than 1% on a reported basis. Revenue benefited from growth in our production mail and mail services business. Revenue in international mailing was flat on a constant currency basis. These gains were offset principally by low and mid single-digit declines in our North American mailing, software and management services segments. Adjusted earnings per share from continuing operations for the quarter were $0.52 per share, compared with $0.51 per share in the second quarter of 2012. Adjusted EPS excludes the restructuring charge of $0.07 per share, a goodwill impairment charge of $0.40 per share related to the North American management services business and discontinued operations of $0.10 per share. Adjusted EPS includes $0.05 related to one-time tax benefit reported in the quarter. GAAP earnings per diluted share for the quarter were a loss of $0.05 per share, compared with income of $0.50 per share in the second quarter 2012. The loss in GAAP earnings per share this quarter was primarily related to our goodwill impairment charge and the loss in discontinued operations. Turning to income statement. Adjusted earnings before interest and taxes or adjusted EBIT was $198 million this quarter and the adjusted EBIT margin was 17.1%. Adjusted EBIT this quarter included net incremental investments of about $3 millions' last year for growth initiatives, particularly e-commerce and Volly solutions. Last year's EBIT margin benefited from a $4 million insurance reimbursement related to the Dallas facility fire. Adding back depreciation and amortization, adjusted EBITDA for the quarter was $255 million or $1.26 per share. SG&A for the quarter was $377 million, a decline of $4 million or 1%s' the prior year. As a percentage of revenue, SG&A was 32.5%, which was an improvement of 10 basis points over the prior year. The improvement in our SG&A, despite incremental investment growth initiatives, highlights the early success of the restructuring efforts consistent with our goal to enhance our operational excellence, improve our client experience and variabilize our cost structure across the business. We continue to identify additional opportunities to reduce costs and streamline the business. This is further reflected in the restructuring charge recorded in the quarter for actions that should benefit future periods. Net interest expense, which includes financing interest, was $50 million which was slightly higher than the prior year. The average interest rate this quarter was 5.1%, which was 22-basis points higher than the prior year. Average outstanding borrowings during the quarter were $167 million lower than the prior year. The effective tax rate on adjusted earnings for the quarter was 25.5%s' 33.3% last year. During the quarter, we realized nonrecurring tax benefit of $0.05 per share due to favorable resolution of certain outstanding tax issues in several countries. Additionally, the sale of the European operations of Management Services resulted in 0.5 percentage reduction in the effective tax rate since this business was operating at a net lost. On the balance sheet and cash flow, free cash flow during the quarter was $124 million. And, on a GAAP basis, we generated $147 million in cash from operations for the quarter. Year-to-date, we generated $232 million in free cash flow and $279 million in cash from operations. During the quarter, we returned $47 million of cash to our common shareholders in the form of dividend and had $11 million of restructuring payments. Cash flow was lower this quarter than the prior year for several reasons. Last year's taxes were a source of cash because of reductions we got for pension contributions and for bonus depreciation. Those deductions were not repeated this year and taxes were use of cash this quarter. Also, we had less of the cash benefit from the decline in our financing portfolio as a result of higher quarter and revolving receivable balances related to our payment business. Finally, because of the timing of accounts payable and bank reserve account deposits, we had less of the cash flow benefit this quarter than the prior year. We continue to actively manage our working capital requirements and expect working capital to have a more positive impact on cash flow in the second half of the year as a result of initiatives in place to reduce days sales outstanding and accounts receivable and increase inventory turns. We had $3.65 billion of debt on the balance sheet at the end of the quarter, which was about $27 million less than the second quarter last year. As I stated earlier, we retired $375 million of debt that matured in June using cash on the balance sheet. Now, I would like to discuss the second quarter results for each of our business segments. This information can also be found in our earnings press release and the slides that we posted to the pb.com website under the investor relations section. North American mailing revenue for the quarter was $433 million and EBIT was $166 million. North American mailing revenue declined 4% on a constant currency basis and less than 5% on a reported basis' the prior year. Revenue was impacted by lower recurring revenue streams. However, we continue to see a moderation in the decline for these revenue streams when compared to the prior year and the rate of decline this quarter was the lowest in six quarters. We expect this trend to continue as I noted at Analyst Day in May. Equipment sales for the quarter declined less than 5%s' the prior year, which is an improvement from the first quarter. EBIT margin was 38.4%, an improvement of 140 basis points' the prior year due to ongoing cost reduction initiatives that reduced costs including the costs of supply, rental and support services as well as SG&A expenses. International mailing revenue for the quarter was $165 million and EBIT was $19 million. Year-over-year revenue was flat on a constant currency basis and down less than 1% on a reported basis. Revenue benefited from increased sales of our Connect+ mailing systems in Europe. Increased equipment sales and higher supplies revenue in Asia-Pacific also contributed to revenue. EBIT margin was 11.7%, which was a decline from the prior year due to a higher portion of non-core mailing equipment sales such as printers and supplies which have relatively lower margins. Also, during the quarter, there was increased expenses as a result of new (inaudible) facility in the UK. Turning to the enterprise business solutions group. Production mail revenue for the quarter was $145 million and EBIT was $14 million. Production mail revenue increased by 18% year-over-year and benefited from the installation of several large production print and inserting equipment orders in North America. The business finished the quarter with higher backlog of orders than the prior year due to demand for our new inserting equipment and printers, particularly as major mailers upgraded their color production capability. Supplies revenue also improved as a result of a growing base of production print installations. EBIT margin of 9.4% was an improvements' the prior year due to the. growth in revenue and ongoing productivity initiatives. The company continues to invest in Volly at a similar rate to last year. This year, though, we reported $2 million in licensing and services revenue in the quarter related to our support of the digital mailbox platform for Australia Post. Software revenue for the quarter was $92 million and EBIT was $16 million. Revenue declined 7% on a constant currency basis and 8% on a reported basis as a result of fewer large dollar licensing deals in North America. There also continued to be weakness in our international markets especially in Asia because of some of the ongoing economic uncertainty in these regions and the austerity measures in the public sector of many countries. EBIT margin of 17.1% was a significant improvement when compared to the prior year due to continued cost reduction initiatives that result in a more variable cost structure. Compared to the first quarter results, we have seen an improvement in both revenue and EBIT in this business. With the appointment of new leadership in the first quarter in the software business coupled with realignment of our sales force, we are better focused on building the revenue pipeline and improving our effectiveness in closing deals. Management services revenue was $175 million and EBIT was $15 million. Revenue for the quarter declined due to continued pricing pressure on contract renewals. EBIT margin of 8.4% was an improvement when compared to the prior year due to lower operating costs. Mail services revenue was $119 million and EBIT was $15 million. Revenue for the quarter grew 10% driven primarily by growth in our e-commerce business. We expect to expand cross-border shipping destinations as we move towards global deployment. Presort operations also contributed to revenue growth in the quarter due to increased mail volumes processed. EBIT margin of 13%, a declines' the prior year was primarily due to the ongoing investments in infrastructure cost to build capacity for our e-commerce offerings. EBIT comparisons were also negatively impacted by the $4 million of insurance proceeds we received in the second quarter of 2012 related to the presort facility fire in Dallas. Additionally, EBIT margin was impacted by the recent postal rate case which changed some of the presort discount categories. Marketing services revenue was $30 million and EBIT was $4 million. Revenue and EBIT declined due to lower fee use related to certain marketing contract renewals for the MoverSource program late in 2012. That concludes my comments on our business performance this quarter. Now I would like to update you on our 2013 guidance. The company is updating its 2013 guidance for continuing operations to reflect results to-date and management services as a discontinued operation in the second half of the year. The company now expects annual revenue excluding the impacts of currency to be in the range of 1% decline to 2% growth when compared to 2012 proforma revenue of $3.98 billion, which excludes the revenue of Pitney Bowes management services. Adjusted earnings per diluted share from continuing operations are expected to be in the range of $1.62 to $1.77, which now excludes the expected earnings of management services for the year. The company now expects GAAP earnings per diluted share from continuing operations to be in the range of $1.70 to $1.22. This guidance includes the goodwill impairment charge reported this quarter of $0.40 and restructuring charges reported to-date of $0.07 per share and excludes any additional actions that may occur as the company implements plans to streamline its operation and further reduce cost. It also includes $0.08 per share for cost associated with the debt tender in the first quarter. Free cash flow is expected to be in the range of $575 million to $675 million. This reflects the cash flow impact of exiting the Management Services business later this year. Finally, as a result of signing the definitive agreement for the sale of North American management services business, in the third quarter, the company anticipates recording an after tax charge in discontinued operation in the range of $0.40 to $0.50 per share, primarily related to the difference between the company's book and tax basis in the business. That concludes my remarks. Operator, you may now open the line for question.
Operator: (Operator Instructions) Our first question will come from Kartik Mehta with Northcoast Research.
Kartik Mehta - Northcoast Research: Good morning. I just wanted to ask you a little bit about the North American mailing business, the decline in that business obviously a little better than it was in the first quarter. I am wondering, as you see improvement in the business, as you look at business condition, do you anticipate that this business can get at least flat by next year or what are your expectations for this business over the next 12 months?
Marc Lautenbach: I am going to resist the temptation of giving a specific number here. I mean, what we said at Analyst Day, and I think is the right way to think of it is that we think that business will stabilize. As a benchmark, you can look at mail volumes in the USPS minus 1% or minus 2%, [mail], slightly more than that, so I think I will stick with the words that we used earlier and we would like to continue to see that's improve (Inaudible) we did it close to flat.
Kartik Mehta - Northcoast Research: Then you talked a little bit about the digital sales force and I am wondering will this be new sales people you hire from the outside or is it outside you transfer some of the people from other segment into this new area for the company.
Mike Monahan: Yes. The answer is yes and yes. I think, we got a great sales force as I indicated in the software business already. We need to help them build their skills specific to we think our very differentiated products, so I suspect to preponderance of our sales force will be a lot we have and will make (Inaudible). As Marc has gotten into business, he is refreshing and adding to his leadership team as well, so I think it's going to be a combination of both Kartik.
Kartik Mehta - Northcoast Research: Okay. Then just a last question on guidance, Mike, just a clarification, is any of the proceeds that you are going to use for PBM is to pay down included in the guidance and the lowered guidance, is all of it because of PBMS or is there a little portion because maybe business conditions are a little bit softer than you thought?
Mike Monahan: Specifically related to Management Services.
Kartik Mehta - Northcoast Research: And, is there any of debt, Mike, included to pay down the debt?
Mike Monahan: It is not. It would be obviously if it's late in the year when we closed it would not be a material impact.
Kartik Mehta - Northcoast Research: Thank you very much. Appreciate it.
Operator: Next question will come from Ananda Baruah with Brean Capital.
Ananda Baruah - Brean Capital: Thanks, guys, for taking the questions. I guess just the first one for me is, could you comment a little bit more on the production mail backlog that you mentioned going into the second half of the year. I think you said it was up year-over-year, and if there were mailers that are actually kind of doing installed bases refreshes right now, so I would love to get some more detail around that and I guess typically how long could we expect the refresh cycle to play on production mail? It sounds like there's lot of (Inaudible) there is obviously impact this quarter as well and there's a follow-up. Thanks.
Mike Monahan: Sure. In terms of production mail business, obviously 18% growth is quite good that related to a couple of particularly large deals that got installed in the quarter. would not say that we think the production mail business is an 18% grow over the long-term. I think the important thing is that we are continuing to see the strong backlog and that backlog obviously gives us some visibility to the latter half of the year. So we think this business is on a good path. As the economy continues to improve, that generally freezes up the capital investments by our customers. So we think it will continue to perform solidly and obviously in the second quarter we had a particularly good result with a couple of big deals.
Ananda Baruah - Brean Capital: Thanks, Mike, and then, Marc and Mike, I guess the financing income was almost flat sequentially and that's very typical in recent years for the June quarter. So is that purely the result of the stabilization that we are seeing in the metering business or there are other dynamics there at play? Then finally, given that it was essentially flat in the June quarter, are we still at a point where we might start to be able to see some kind of sustained sequential uptick in the financing revenue. I know, we sort of talked about, for a couple of years, that was talked about, we are not there where we could see could growth yet. But I just want to get the proper context for that since we saw a pretty solid quarter there.
Mike Monahan: Sure, I would frame this very much in context of what Marc described. I think with respect to recurring revenue streams, we are seeing sustained improvement in all elements, including finance receivables. We actually saw our financing receivables come down very modestly in the quarter. So I think we are on the right trajectory. I think we are still little ways from it being flat but as we described we are looking for quarter-to-quarter at rate of decline.
Ananda Baruah - Brean Capital: Got it. Then just a last one for me, guys, right now. Can you give some sense of what the incremental, as you guys have defined them, cost base were through the business model, June quarters' March quarter? Just trying to get some sort of sense of what kind of cadence you guys might be putting yourself on track for?
Mike Monahan: Yes, I think it's hard quarter-to-quarter to project that specifically but the way we would look at it is, is we had a $4 million decline. We had about $7 million of, I would say, a combination of incremental spend on growth initiatives and one-time insurance proceed last year. That would say, net net, we had about $11 million decline in the underlying SG&A. I would say that's consistent with what our plans are but again it will vary quarter-to-quarter based on the actions we take.
Operator: Our next is going to come from George Tong of Piper Jaffray. Please go ahead.
George Tong - Piper Jaffray: This is my first PBI earnings call and I am excited to be onboard.
Marc Lautenbach: Welcome aboard.
George Tong - Piper Jaffray: Thank you. Can you talk a bit about your meter base trends in Europe and Canada? What your views in the sustainability of growth there and how much that growth can offset the declines you are seeing in North America?
Mike Monahan: On a relative scale, obviously the North American or U.S. meter base is the largest. We continue to see a good performance in both Canada and Europe in terms of sustaining and even marginally growing that base. The U.S. base is more of a rental business than in Europe. So you see that in the aggregate of our SMB revenue. You saw that our international revenue was essentially flat year-over-year. That has been in that pattern for the last few quarters as the combination of the impacts of the meter placements was offset by some recurring revenue challenges. So we think we have shown the international business can be stabilized and now will continue to look for improved performance in North American business.
George Tong - Piper Jaffray: That's helpful. You mentioned earlier that your guidance update reflects primarily the sale of your management services businesses. But I know that you also revised your revenue growth guidance to down 1% to 2% growth which reflects a continuing operations expectations. So can you comment on what drove that revision and what you are seeing in your core business?
Mike Monahan: Sure, actually similarly there is an impact of the management services business, as we talked about, I have seen print outsourcing as a growth driver in the second half of the year. So as we look at the moving that business to discontinued operations we reflected that in our overall guidance and then obviously we looked at overall performance year-to-date and net-net that was the change in guidance.
George Tong - Piper Jaffray: Great. Then last question for me. Digital Commerce solutions are obviously an important part of your long-term growth story. You have talked about [e-commerce] and a bit about Volly. Can you tell us about other initiatives you had going on in the second quarter? How those projects are tracking and how quickly you expect revenue streams from these various projects to ramp?
Mike Monahan: In terms of the couple of key initiatives, e-commerce is an important piece of that and we continue to see that ramp in the second quarter as we made investments in building out the infrastructure to support that and moving into additional countries. As you noted and as we noted here, Volly, we continue to invest in that. Obviously, as Marc noted, other investments come in the form of go-to-market strategies both, for our core mailing business as well as our software business, so we are making investments across the business. They just vary based on the business profile and trajectory.
Operator: Next question will come from Scott Wipperman with Goldman Sachs. Please go ahead.
Scott Wipperman - Goldman Sachs: Good morning. Thanks for taking the questions. Mike, I was just wondering if you could elaborate on the commerce and debt pay down. Should we be thinking about that as prefunding the 2014 maturity, or do you think you guys could look up the curve to reduce some other towers you might and I have a few follow-ups.
Mike Monahan: Yes. We are evaluating that. I think, both our options for us and obviously will look at the implications, particularly as we see what the markets look like, when we get to closing period, but those are obviously two options we are considering.
Scott Wipperman - Goldman Sachs: Got it. Then just on international mailing, I know there have been some prior benefit from the launch of Connect+. Does that turn into a tougher comps in the second half of '13. I guess, how should we think about the trajectory there?
Mike Monahan: Actually Connect+ continue to be a positive contributor this quarter. If you recall, we launched Connect+ a little bit later in both, France and Germany, and so we continue to have some runway in those markets. They usually take long as to get product approval. France is the second-biggest mailing market after the U.S., so we see some opportunity continue to grow around Connect+.
Scott Wipperman - Goldman Sachs: Okay. Great. Then just the last one, just outlook for restructuring in the second half of the year, if you could just remind us, recall that charges that you discussed at the Analyst Day, but how should we think about those going second half of the year?
Mike Monahan: What we described was the charges in the neighborhood $100 million to $125 million to drive cost savings through 2014 and we took the first installment of that in the second quarter $20 million. We will continue to identify initiatives as we go forward. Incorporated now in that obviously will be the impacts of separating management services business and that will play into greater simplification of our overall infrastructure, so we would expect those costs to continue to roll in over the next several quarters.
Scott Wipperman - Goldman Sachs: So, it's going to be through 2014 on non-restructuring charges?
Mike Monahan: Correct.
Scott Wipperman - Goldman Sachs: Got it. Okay. Thanks for all the questions.
Operator: Next question will come from Shannon Cross with Cross Research.
Shannon Cross - Cross Research: Thank you very much. Just had a couple questions. The first question I have is basically, can you talk a little bit about the changes, Marc, you discussed in your coverage model in the U.S. can you give us a few more details on the how you are shifting things and how we should think about it from a cost perspective, or cost benefit perspective?
Mike Monahan: Yes. So, the focus is to improve our coverage and become more efficient, so the specific tactics underneath that is we are adding inside sales and web capabilities to the go-to-market mix, so that we can reach our clients more cost effectively. So, as you contemplate the sales force going forward, there will be will be a higher mix of inside sales over time, a higher mix of web capabilities and proportionally less face-to-face sales resources. So we think the net benefit of that is when users leverage techniques of web and inside sales, you reach more customers more effectively. The results of the pilot have been the increased client satisfaction. In terms of the benefits that we believe, I think I would go back to Chairman, the numbers that we offered at Analyst Day, as we exit '14, $100 million to $125 million of growing rate of SG&A. So that's buried in there and I would say, the other important aspect of this that we haven't spoken as much about is all the stuff that we are doing to make the backroom more efficient. So when we talk about simplifying the operating model and focusing on fewer number of businesses, a fewer number of products and a more consolidated geographical model that will help us simplify the business model and make the back room a lot more efficient. So we will continue in that journey. You know this is something that Mike and the team have done very credibly before and turned $4 million out. So it's a journey we know but there is still plenty of opportunity in the business.
Shannon Cross - Cross Research: Great, thank you, and then can you talk a little bit about the sale process for the PBMS business. I think it was back in 2008, you guys had put it, obviously well before your time, but it had put on the market and right into recession there was obviously no interest because there was the recession and people were cautiously tight. I am curious as to how this came about and, it was a bidding process or did Apollo come to you? Just any color you can give us.
Marc Lautenbach: The first part of the process was a fairly thorough evaluation of the overall business and it was my conclusion and the Board of Directors' conclusion, that while this is a very good business, strong client with very low-end and great leadership team but ultimately there could be more outside of Pitney Bowes family, if you will. So based on that decision, we then began a fairly robust process with the market looking at first financial as well as strategic buyers that ran over the last several months and it ultimately culminated in a signature over the last 24 hours. I have seen a lot of divestitures, and acquisitions. I will tell you, this process was as robust as any I have seen in terms of soliciting input and big backup from the market.
Shannon Cross - Cross Research: Great. Yes, I know. I think it is probably the right move, given the strategy you might have. My final question is, just could you talk a bit more about linearity in the quarter. I know Mike, I think you had mentioned some weakness in Asia. You had also mentioned some strengthen in production as you got to the end of the quarter. I am just kind of curious as maybe on a geographic basis, if you talk about what you are hearing from your customers in terms of sort of the health of enterprise?
Mike Monahan: Yes. I would think we see North American very much as you hear generally in the marketplace that it's a bit up and down but generally the longer-term trend is positive. Europe, for us, has been relatively stable in a relatively unfavorable economic environment. So we don't see a lot of change there. When I speak about that, I mean, particularly our mailing business. Software, we have seen more of an impact from Europe and Asia because we have a fair amount of business with government agencies. So there is a sector elements of that underlying the individual economies. I think that that's basically what we are seeing and obviously very small business where it is particularly important to us in North America. It continues to be, I would say, cautious.
Marc Lautenbach: I think that's a fair characterization. We are certainly not immune to the government sector in terms of going on in the economies. That said, I do like our geographic foot print right now. If you look at where we are strongest, it's the United States. Relatively speaking, that's the strongest economy that we see around the world. In terms of Europe, we are deeply penetrated in Northern Europe, relatively speaking. That's stronger in Europe. And, if you look at where we are in Asia, our biggest footprint is Australia and Japan. Again, I like those economies, so rather fortuitously I like our geographic footprint. As I said, immune from secular trends, but I like how we are positioned.
Operator: Our next question is going to come from Blaine Marder with Loeb Capital Management.
Blaine Marder - Loeb Capital Management: Congratulations on the strong results, particularly in North American mail production mail. My question resolves around, Marc, you said in your commentary that you believe that the segment reconfiguration is not yet complete. And just seeing the dilutive impacts of the sale, how are you sort of weighing on one hand, getting low multiples for sort of higher-margin businesses and the dilution effects of selling when may be looking at buying some higher multiple businesses and so you are shifting the mix, but paying high multiples for acquisitions potentially and selling businesses that could potentially be dilutive. I mean, how are you sort of weighing that in the entire strategy? Thank you.
Marc Lautenbach: That's a rather involved question. Let me kind of take it up a notch, so, let me say definitively, we have not completed our segment work to reconfiguration ourselves and again what we are trying to do is put our growth business with our growth businesses and our businesses that we are running for cash together, so we expect that that will happen over the coming couple of quarters, so that's not a belief. That would be just a fact. In terms of the overall portfolio, the way that we are thinking about it is what's the most value that we can create. As it relates to PBMS in particular, my conclusion and the board's concludes, Marc's conclusion was that more value can be created outside of Pitney Bowes family than in. That has no level of (Inaudible) on the rest of the portfolio what we do for that was a micro decision. In terms of the dilution that's caused by the divestiture as Mike indicated and we have talked about again. We are working on the cost and expense structure that will speak to the dilution to a portion of the dilution that is created and will look at our ongoing options of going forward. That said, we are moving the business to places where we can drive more value. One would expect you would see that in improved margins of our business. In terms of going forward and you jumped a little bit ahead of me about in terms of acquisitions. Again, what we said about acquisition to be very disciplined focus and do those in a way that we again think we can drive a disproportionate value, so to the extent that we do them, we would do them in digital commerce space in software and you would pay a higher multiple for that, but we would only do that if we think it's accretive to the overall business and what we said was we would have to be accretive in a fairly short 18 months amount of time. So, I like the way that we are thinking about this equation. I think it's predicated in how we drive value. By the way, I would say not just value for Pitney Bowes, but I believe in the case of PBMS divestiture in particular I think Apollo is going to create a lot of value and I am hopeful that the employees see that value as well, so this is from my perspective win all the way across the board.
Operator: Our next question is going to come from Chris Whitmore with Deutsche Bank. Please go ahead.
Chris Whitmore - Deutsche Bank: Thanks very much. I actually wanted to follow up along that line of questioning and ask about balance sheet targets, leverage target and alike and whether you think that this asset sale gives enough firepower capital to move into that next phase of the strategy. Can you give us some thoughts around balance sheet capacity and willingness to put on debt or do you think you have enough you capital to execute that acquisition portion of the strategy? Thank you.
Mike Monahan: Yes, so, Chris, thanks for the question. In terms of the balance sheet, obviously, if we pay down debt with this, we think we will maintain our ratios in the neighborhood of where they are today, credit ratios. So obviously as we look ahead and would look at acquisitions, we would look at that in the context of its contribution to EBITDA and if we were to add debt we would look for growth in the business that would support that. But, as Marc said, we continue to look at the overall portfolio. We continue to look at obviously growing earnings in the business to drive the opportunity for leverage. So we are not committed on a particular path at this point but we believe disposition of this business will continue to strengthen our balance sheet overall.
Chris Whitmore - Deutsche Bank: Are there significant assets for consideration for monetization here?
Mike Monahan: I would say, we continue to look at our whole portfolio but this is obviously of the things we have done in the business thus for the most significant.
Marc Lautenbach: Yes, Chris, I would go back to the comments that we said in May. We are obviously not going to comment prospectively. We might do in the future. But we did set out pretty specific criteria for the business that need to be strategically coherent, you need to return an acceptable cost of capital and visibility into the marketplace. That was and is the criteria that we look today in the portfolio and all of that is predicated on the basic sense of how do we create great value. So while there were positive impacts through the sale of PBMS in terms of the balance sheet, that was not the primary motivation. The primary motivation was about value. I liked the balance sheet last week and I like it this week. So I think we have got a strong balance and as you and others have remarked, we have got a lot of opportunity to generate a fairly substantial cash flow organically going forward.
Chris Whitmore - Deutsche Bank: So, Mike, you talked about classifying the businesses as growth businesses and cash flow businesses. I know software is a key component of the growth strategy. However, that asset isn't growing. Can you give us some color as to the timeline and key milestones around getting that business to turn towards positive growth? Related to that, I am a little surprised to see the significant margin expansion in that business despite the softer topline. So can you help us understand the level of investment in that business and how that may be changing going forward? Thanks a lot.
Marc Lautenbach: Sure, it's a great question. So, again, we talked about digital commerce. That does not equal to just the software businesses going forward and that's one of the reasons I feel so strongly that I want to reconfigure how we report segments to be transparent to you in terms of how are thinking about the business and overtime how we run the business. So that's the first task. What we said at Analyst Day was that we believe it will take a couple of years to get that business growing at market rate. So that is our objective. Again, it's $4 billion to $5 billion dollars of opportunity and those markets are growing double-digit. So that's the timeframe. The important milestones along the way beyond getting ourselves configured, from a segment perspective, is what we did with the sales force. As you will recall, my primary insight in terms of what was required to get that business to grow was a specialized and dedicated sales force. We are starting that journey but it will take some number of quarters to build those skills in a way that we would like. But once we get ourselves configured, I think some of this becomes a little bit more clearly. The other key milestone along the way is what happened to some of our key offerings and products. So Mike talked about e-commerce and our volumes there. We talked about Volly. We talked about some others that will be important as well and we will add color to those as we go forward. In terms of the margins, the margins did improved sequentially. I would tell you that they are more akin to the kinds of margins I expect to see in a software business. I gather we do consider the first quarter somewhat of an anomaly in terms of what we saw for margins. The overall investments that we are making in this business today and going forward are consistent with how you run a software business, both from an SG&A perspective, as well as an R&D perspective. Now, within the software and digital commerce business, you businesses that are more mature, that require a little bit less of sales and a little bit less R&D and you have got businesses that are growing like what we are doing with the e-commerce and that require more investments and that's what happen when you cut these mosaic of business as you got different one way or different lifecycle, so that's how we are thinking about going forward and kind of what you would expect to see and what we try to do today not just in digital commerce and that conversation begin to allow the markers for you expect to see around digital commerce operational excellence in the stabilization of mail?
Chris Whitmore - Deutsche Bank: Thanks very much Marc. Appreciate the color.
Operator: Our next question is going to come from (Inaudible).
Unidentified Analyst: I have two questions. One is the marketing efforts, are there other major changes you need to make or is this just sort of evolutionary grind of hoard?
Mike Monahan: As you evolve the business, you always make changes. Some of those would be more substantial than others, but that is just a truism of business that you need to continue to move the business or values that will mean principally we make organic investment, we will continue to look at the portfolio both, acquisitions and divestitures consistent with what we laid out, but we are certainly not going to standstill. This is a great business, but there's a lot that we need to do to unlock the value and what you are seeing, if you step back and look at what's happened over the last 90 to 180 days is fairly remarkable in terms of the level of change and how the business is being repositioned. While not everything will be as dramatic as what we have announced in the last 24 hours or [anything] in the last 90 days we are in, but we aren't going to standstill. We are going to move forward and we move forward aggressively, because we want to lead.
Unidentified Analyst: The questions is the balance sheet. Is there goal, because it seems to me with interest rates where they are, you would want to keep as much debt as you can, because three, four, five years from it's probably not going to be this cheap.
Marc Lautenbach: Yes. What we have said is, we are focused on investment grade credit ratios and we believe that we have believe that we got a very solid balance sheet around that today. We think that with this divestiture we will continue to be in that position, so we are comfortable with whatever the debt portfolio is today and we will continue to manage that as we go forward.
Operator: Our next question is going to come from Glenn Mattson with Sidoti.
Glenn Mattson - Sidoti: Hi, gentlemen. Just looking at equipment line, I am sure some of that surge in that business was due to some kick out from the March quarter, but even when you add those two together and do year-over-year comp of the first half, there were still pretty solid growth. Can you say possibly this is the first time ever seen maybe this cyclical upturn in that business?
Mike Monahan: In terms of the equipment sales line, obviously that's benefitting from the performance in the production mail business, so that's a very positive contributor to that. We have seen progression on a quarter-to-quarter basis in the North American mailing business and non solid sales performance in the European business, so it's a combination of those things that I think are very consistent with what we laid out of continuous progress meeting with equipment sales and driving recurring revenue streams.
Marc Lautenbach: Kind of add a point, we are talking about stabilization of the mailing business. We are talking more than just the SMB business. We are talking about the total portfolio of assets that we have around mailing business, but we can get back to you Glenn, whether this was the first time we have seen equipment sales increase in a while or not. I think it's a pretty important data point in our journey forward.
Glenn Mattson - Sidoti: No. I would agree. Then just a little more on the eBay relationship, I am not sure if you guys breakout specifically what you did that business for revenue, but if you don't can you talk about the progressing at the pace we should expect and also the country that you have been exporting to for a couple of quarters now. Are you seeing further penetration within those with existing countries?
Marc Lautenbach: We are. We saw good sequential growth and we are about $9 million higher than last year in that business, and that has come not just from eBay, but obviously the broader e-commerce business and we have continued to see the penetration by offering it in more markets around the world but we are seeing improved penetration in some of the key markets which, not surprisingly, would be markets line Canada, the UK and Australia.
Operator: Your next question is a follow-up from Ananda Baruah with Brean Capital. Please go ahead.
Ananda Baruah - Brean Capital: Thanks a lot for the follow-up. I will try to be quick. Just with regards to the EPS guidance, I wanted to ask why seemingly the second half is a little bit firmer then it appears that maybe it could be, I guess the way I am looking at it is, this is why adjust out the $0.10 yield which you are backing out from the sale of management services. If I am assuming I am doing that correctly, it would suggest that EPS for this quarter, operationally, was $0.42 and if that's the case, then it would suggest you are guiding at your midpoint of new guidance for $0.37 for the September-December quarter. If I don't do it that way, it suggests that the guidance is $0.42 for the September-December quarter. I guess, given that regardless of how I do it, seasonality in the second half the year, particularly in December, of course, would be a little bit stronger and typical. So I would think that, with the run rate of $0.42 operationally and almost linearly through the year would be a bit conservative for the second half the year. So I just wanted to ask the question as to why would we see linear operational EPS through the year? Is there something going on that you are just being a little cautious? Or there is something that we should be aware of? Thanks.
Mike Monahan: Ananda, I would suggest that our guidance has not changed except for the exclusion of management services. There is a number of puts and takes here. So it gets a little complicated but essentially, if you take the range of $1.85 to $2, and you subtract the $0.23 that's assumed here for management services, that yields the $1.62 to $1.77 adjusted EPS that is consistent with our guidance prior with the exception of management services. So we are not projecting any change in our outlook for the second half the year.
Marc Lautenbach: Building on that, if you look at what's implied in the revenue in the second half of the year, the revenue is going to continue to sequentially improve. So, as Mike said, there is nothing mysterious about the guidance. It is simply airlifting PBMS out for the divestiture.
Operator: Your last question in queue at this point will come from Andrew Simon [ph] with (inaudible). Please go ahead.
Unidentified Analyst: Thank you. It is great to see the turnaround starting to take shape at Pitney Bowes. If you combine the proceeds from the North America divestiture and the European management services divestiture, and you take out the taxes and other fees, can you say what the total net proceeds are if you combined?
Mike Monahan: Yes, obviously, we have to finalize the transaction and the taxes in the third quarter or fourth quarter but we expect to be north of $300 million in terms of net proceeds. Obviously, as we have suggested, the bulk of that would be used to reduce debt.
Unidentified Analyst: Is that both deals, North America and Europe or are you just talking about the North America part?
Mike Monahan: In total. So the net cash on the European business is rather modest.
Unidentified Analyst: Okay, so you are saying that your free cash flow this year would be $575 million to $675 million or $625 million, if you just used the midpoint. You have had $230 million of free cash flow in the first half. But based on what you said, the first quarter was $107 million, the second quarter was $124. So you still have operating free cash flow coming in this year of $395 million and proceeds so quote 400 and then 300 of net proceeds. So you have $700 million of cash coming in this year, but you ended the quarter with $600 million of cash, so that's $1.1 billion of cash on the balance sheet at the end of the year, which is something between $5 and $6 a share. So, I guess, what I would like to know is you have $450 million of debt due in 2014 and $400 million of debt due in 2015. Can we assume that you will pay that off from cash on hand.
Mike Monahan: We have left $300 million remaining due in '14, but obviously part of closing the transaction, we are looking at our options around managing the debt portfolio, so you obviously totaled it all up to pretty big number. There is dividends and other things against that as well, but we will continue to provide insight into what we are doing as we go forward.
Unidentified Analyst: Okay. Well, I will just say that from my perspective anyway and forgive me for telling you it, but as we wait for the turnaround which I am confident we will be successful given your plans and history. It's nice to have our investment de-risked by some of the cash going to pay down debt during the time that we wait and also pay the dividend during the [time], but I am thrilled with the quarter and you guys are doing a great job. Keep up the good work.
Marc Lautenbach: We appreciate the input.
Mike Monahan: And the compliment.
Operator: (Operator Instructions) No further questions at this time.
Marc Lautenbach: Great. Thank you. I would just summarize, we made good progress. I am very pleased with where we are so far. If you look at the progress that has been made over the last couple of quarters, that said this is a journey, so we will continue to try to be as transparent with you as we can going forward and layout our markers for our progress. Thanks for your interest in the company. We really do appreciate. I thought the questions were terrific and we will look forward to talking to you soon. Thank you.
Operator: Ladies and gentlemen, this conference will be made available for replay after 10 O'clock today and run through Friday, August 30th at midnight. You can access the AT&T executive playback service at any time by dialing 1-320-365-3844 and entering the access code 296300. That number again, 1-320-365-3844 with the access code 296300. That concludes our conference for today. Thanks for your participation and for using AT&T executive teleconference service. You may now disconnect.